Executives: Andrew Barwicki - IR George Kirby - CEO Mark Featherstone - CFO
Operator: Good day, ladies and gentlemen. Thank you for standing by. Welcome to the Third Quarter 2016 Ocean Power Technologies Earnings Conference Call. At this time, all participants are in a listen-only mode. [Operator Instructions] Later, we will conduct a question-and-answer session and instructions will follow at that time. As a reminder this conference is being recorded. Now, I'd like to welcome Mr. Andrew Barwicki, Investor Relations. Please go ahead.
Andrew Barwicki: Thank you and good afternoon. Thank you for joining us on Ocean Power Technologies’ conference call and webcast to discuss the financial results for the three months period ended January 31, 2016. On the call with me today are George Kirby, President and CEO and Mark Featherstone, Chief Financial Officer. George will provide an update on the Company's highlights for the quarter, key activities, and strategies, Mark will then proceeds to review the financial results for the third quarter. Following our prepared remarks, we will open the call to questions. The call is being webcast on our Web site at www.oceanpowertechnologies.com. It will also be available for replay later today. The replay will stay on the site for on-demand review over the next several months. This morning Ocean Power Technologies issued its earnings press release and filed its quarterly report on Form 10-Q with Securities and Exchange Commission. All of our public filings can be viewed on the SEC Web site at www.sec.gov or you may go to the OPT Web site which is oceanpowertechnologies.com. During the course of this conference call, management may make projections or other forward-looking statements regarding future events or financial performance of the Company within the meaning of the Safe Harbor provision of the Private Securities Litigation Reform Act of 1995. These forward-looking statements are subject to numerous assumptions made by management regarding the future circumstances over which the Company may have little or no control that involves risks and uncertainties and other factors that may cause actual results to be materially different from any future results expressed or implied by such forward-looking statements. We refer you to the Company’s Form 10-K and other recent filings with the Securities and Exchange Commission for a description of these and other risk factors. And now, I would like to turn the call over to George to begin the discussion.
George Kirby: Thank you, Andrew. Good afternoon, everyone. I appreciate your interest in this conference call and I'm encouraged by your participation. Today, I'll review our business operations and provide an update on key activities and developments in the quarter. Mark will then briefly review our financial results. After which, both Mark and I will be available to answer any questions. I assume that most of you have seen our earnings news that was release this morning. If you do not have a copy of the news release you can access it on the web. First and foremost as part of our overall strategy in the business plan that we implemented in 2015, I'd be remised, if I didn't mentioned how far along we come with some of our partners and customers. For instance the National Data Buoy Center, Gardline Environmental, Mitsui Engineering and Shipbuilding, The office of Naval research as well as other organizations and companies within the public and private sector. WADE power is progressing as a viable source of renewable energy and with our partners we're moving forward in an aggressive manner. Just this last Tuesday we announced the partnership with the National Data Buoy Center and initial ocean demonstration of our APB350 PowerBuoy with the Self-Contained Ocean Observing Payload will be conducted off the coast of New Jersey. With additional demonstrations being announced in the future. We believe our advanced PowerBuoy technology is well suited to meet all of the National Data Buoy Center requirements and we're looking forward to a successful demonstration in the coming months. We also announced the signing of letter of intent with Mitsui Engineering and Shipbuilding or MES which is intended to reach a definitive agreement under which OPT would lease an APB 350 PowerBuoy to MES for deployment in Japan. The OPT project scope would also include associated deployment planning and logistics, Ocean performance data collection and processing. OPT and MES anticipate jointly developing and testing and advanced control algorithm with the goal of accessing increasing ocean wave capture and electric power generation. We believe that this project and the anticipated first PowerBuoy lease represents the strength of our longstanding relationships with MES and is a major step towards assessing a potentially large market in Japan and for the surrounding geographic areas. Under the letter of intent OPT will begin initial work while working to achieve the definitive agreement for the remaining project scope. While most of these recent announcements and activities centered around Ocean Observing, we see many more unique opportunities in oil and gas and defensive security markets as well as other industries upon which we believe we can capitalize in the future. The APB350 PowerBuoy this year exceeded 125 days of deployment and energy generated surpass at 100 kilowatts hours or more than 1 megawatt hour. We continue to collect market input in order to improve the system with our next generation PowerBuoy which will feature and enhanced electrical storage system, a higher efficiency power management system, onboard processing and real-time communication of customer centric data and user friendly interface providing even more flexibility to end users. Additionally, we anticipate that power can be provided to offshore subsea and sea surface equipment such as a docking station for charging and data collection and communication from unmanned underwater vehicles or UUVs. UUVs are currently used by each of our target markets and the addition of remote charging and data communication capabilities could be a real game changer for end users. Our PowerBuoy system generates power even in low to moderate wave environments and it contains space for additional battery capacity if required to ensure power can be stored and provided to an application even under extendible loads in no wave conditions. I am excited by the progress that our team has made and we continue to explore opportunities to apply more resources to grow our markets. We're considering numerous business initiatives in the U.S. and Asian market places. We believe we have in place the platform to continue to strengthen and grow our business. Our first lease to MES would be a significant accomplishment and a sign that our strategy is a working. We also believe that our value proposition coupled with the diverse market segments that we intend to serve will allow us to improve our operating results regardless of market conditions. I am also very happy to announce that during the third quarter we received approximately $1.7 million through the sale of New Jersey's business tax certificate transfer program. This particular program enables company to raise cash to finance their growth and operation by selling net operating losses and research and development tax credits to unaffiliated corporations up to a maximum lifetime benefit of $15 per million business. I'll turn it over to Mark who will review our financial results for the quarter.
Mark Featherstone: Thanks, George, and good morning everyone. I will now review results for the third fiscal quarter of 2016 before we open up the call to questions. For the three months ended January 31, 2016, OPT reported revenues of $5,000 as compared to revenue of $0.3 million for the three months ended January 31, 2015. The decrease in revenues compared with the prior year was primarily related to the decreased billable cost on our previous projects with Mitsui Engineering & Shipbuilding or MES, and with our contract with the U.S. Department of Energy. As George just mentioned, we have recently signed a letter of intent with MES related to the potential lease and deployments of an APB350 of the coast of Japan. The net loss for the three months ended January 31, 2016 was $2.0 million as compared to a net loss of $2.2 million for the three months ended December 31, 2015. The decrease in net loss is primarily due to an increase in income tax benefits on lower selling, general and administrative expenses offset in parts due to a higher product development cost. Selling, general and administrative costs were lower due to reduced third party consulting, certain employee-related costs and patent amortization costs. For the nine months ended January 31, 2016, OPT reported revenue of $0.6 million, as compared to revenue of $3.6 million for the nine months ended January 31, 2015. The net loss for the nine months ended January 31, 2016 was $9.1 million, as compared to a net loss of $9.9 million for the nine months ended January 31, 2015. Turning now to balance sheet, as of January 31, 2016, total cash, cash equivalents, and marketable securities were $9.5 million, down from $17.4 million on April 30, 2015. As of January 31, 2016 and April 30, 2015, restricted cash was $0.4 million and $0.5 million, respectively. Net cash used in operating activities was $8.1 million during the nine months ended January 31, 2016, compared to $14.8 million for the nine months ended January 31, 2015. The prior year reflects return of $4.7 million related to an advance payment received from AREA while the current year reflects cost related to increased deployment activity. As discussed in our prior conference calls, we have taken a number of steps over the last several months to reduce our cash burn rate while focusing on our technical, operating and business development resources on key initiatives to take away the APB350. As such, we continue to project that our operating cash burn in fiscal 2016 will be lower than that in fiscal 2015, despite increased deployment activity this year. We remain confident in our cash position and we expect to have sufficient cash to maintain operations into at least the quarter ended October 31, 2016. We also continue to explore alternatives to raise additional capital. With that, I’ll turn it back to George before we open up the call for questions.
George Kirby: Thanks Mark. Before we move on to Q&A, I want to mention that there are thousands of offshore devices currently collecting wide range of data in the oceans around the world. These devices mostly run on solar or battery power all of which require numerous services on a continuous basis. In the recent report prepared for NOAA's integrated ocean absorbing system program office, Zdenka Willis director of the program office discussed, “the ocean enterprise, the blue economy and blue tech.” In the report NOAA's chief scientist Dr. Richard Spinrad states that we are on the cusp of a new blue economy, the sustainable growth of existing ocean uses and the emergence of entirely new economic opportunities associated with our oceans, coast and great lakes. Ocean information under pins this rapidly developing blue economy and is becoming a big business in its own right. It goes on to save it NOAA produces 20 terabytes of data every day and he says this report is a first math of a key component of the new dynamic blue economy and appoints us to the future of environmental intelligence as an exciting growth industry. We believe that our PowerBuoy is posed to be the data collection platform or the blue economy. Because it's capable of supplying continuous power and real time data communications which we anticipate will allow end users to potentially consolidate applications into one platform, create new game changing applications which leverages this power and to reduce operational cost of these marine applications. We believe our PowerBuoy limit will enabled more, better, lower cost and real time data for the blue economy.  Thank you for your support and time today and operator we are now ready to take questions.
Operator:
George Kirby: Okay, thank you. And thank you all once again for attending today’s call. If you have any further questions, please don’t hesitate to contact us. Otherwise, we look forward to speaking with you next quarter.
Operator: Ladies and gentlemen, Thank you for participating in today's conference. This conclude the program. And you may all disconnect. Have a wonderful day everyone.